Nathan Fast: Hello, everyone. Welcome to today's webcast on HIVE Digital Technologies Financial Results for the Quarter Ended September 30, 2024. My name is Nathan Fast, Director of Marketing and Branding at HIVE, and I'll be your moderator for today's call. Before we get started, on Slide #2, I would like to briefly note the disclosures for today's presentation. Except for statement of historical fact, this presentation contains forward-looking information within the meaning of the applicable Canadian and U.S. securities regulations. These forward-looking statements are based on expectations, estimates and assumptions as of the date of this presentation. Further, in addition to discussing results that are calculated in accordance with International Financial Reporting Standards, or IFRS, we will also make references to certain non-IFRS financial measures such as adjusted EBITDA. For more detailed information on our non-IFRS financial measures, please refer to our management's discussion and analysis of our financial results that was published earlier today, which can be found on our Investor Relations website. On the next slide, I'm pleased to introduce today's presenters: Frank Holmes, Executive Chairman; Aydin Kilic, President and CEO; and Darcy Daubaras, Chief Financial Officer. I would now like to hand the presentation over to Mr. Frank Holmes for a macro recap of the quarter. Frank?
Frank Holmes: Thank you, Nathan, and thank you to shareholders. I'm going to try to give a macro and then turn over the more granular material information to the HIVE team, Darcy and our CEO, Aydin. Next, please. I always like to start this off because it's been a heck of week since the elections. I think our stock has surged about 56%, but it's a nonevent for the DNA of our volatility over a 10-day period to be up or down 17%, which is significantly higher than the S&P 500, like a 5x. And the same thing on the down corrections, the volatility is much greater. And this changes over time. MicroStrategy used to have less volatility and now it has more volatility than what we have for shareholders. Next, please. Well, one of the big factors driving all this besides the enthusiasm of President Trump winning has, as you've seen this for many alternative asset classes like Bitcoin, it's the all-time rising global debt. And as the all-time global debt rises, more and more countries are greatly concerned. In particular, you see the Central Banks are buying gold. The U.S. government maybe now as a policy will start buying Bitcoin. All that enthusiasm relates to the alternative assets, global debt climbing. And I don't see anything changing this for this century because too many of the G20 countries are still practicing what's called MMT, Modern Monetary Theory, which believes that you can use monetary policies to rightsize an economy. You can throw any type of socialistic policies, just print more money. And that really is a process and a stepping stone for devaluing the country's currency. So this is what makes Bitcoin, in particular, HIVE position so well in the rising debt levels. Next, please. One of my favorite books that I've always -- and I had this opportunity over like 20 years ago to have dinner with James Surowiecki, who wrote a book called The Wisdom of Crowds. And there are times when the crowds are very wise. And it's the opposite of a Groupthink where everyone is reading the same textbook and reading or watching one news station. This can happen much more often where there is centralized control of information flow, and that's what happens in a lot of the G20 countries. We see this in Canada with CBC, in England, BBC, same thing in Sweden, in particular, when we go to countries like China or in Venezuela, all the media is controlled. So the Groupthink is very different than when the crowd is wise. The stock market is a mechanism that the average price is pretty wise and the stock market is usually 6 months ahead of the economic activity. And with that has come out new methodologies of predicting politics and election outcomes. So when -- if you've not read the book, I highly recommend you read it. Next, please. So we've seen a positive response to President Trump winning. And you can see, particularly the financial sector, a lot has to do with the SEC, which has had policies not only anti-crypto, but really has created a big backlog for the formation, the creative process of the formation of capital, IPOs, SPACs, funding, etcetera. So we've seen that a lot of news came out last week that the major banking firms and brokers, etcetera, feel that there's going to be a lot of capital formation, and this has led with the financials. And we can see other categories here that have also participated in that boom. HIVE shows up as this alternative asset class, but also in information technology and small cap. Next, please. Well, Trump's Triumph wins the Presidential race. What is interesting about this visual is what you see in the blue states is where Harris has won. These are states where you did not have to have photo ID. And that's what is really a big part which the -- it appears to us that the Democratic Party didn't really grasp the great concern over border security. It didn't grasp Wokeism and what it was doing to public companies from ESG and DEI. There's many incidents that they were -- that the far left of the Democratic Party was not aware of what was going on across the country because it was a pretty broad sweep by the Republicans. Next, please. So when you're a Bitcoiner like we are, America voted for Bitcoin. And it's pretty ubiquitous across all the state lines Democrats and Republicans, and I know a lot of great Democrats are pro-Bitcoin. And you can see that it's very positive for the ecosystem and the thought leadership that's going to take place in America with Bitcoin. Next, please. Now we're seeing that 99.9% of Bitcoin addresses are now in the profit. This is psychologically very important. HIVE Digital took leadership a couple of years back in sponsoring education by the numbers for Bitcoin magazine. And we're also seeing that more and more people have bought Bitcoin besides the ETFs and record unprecedented fund flows into these ETFs has been separate wallets. So the psychology behind this is very, very positive for this industry. Next, please. So one of the challenges is the Bitcoin hash rate has risen, and that just means the profit margins are not expanding as fast even with Bitcoin rising, more people are coming in with better machines. And that's the reason for our press release today that we have increased our exposure to buying Canaan machines that are much more energy efficient so that we can maintain this ambition that we have of maintaining this 1% of the foot mark -- sorry, the footprint of Bitcoin mining and to be able to expand over the next 12 months where we're going to be 2% of the global network. Next, please. So Trump is America's Bitcoin President. This is a big event that many celebrated in Nashville and is positioned behind it. I want to thank all the Bitcoiners that actually supported the President and Democrats too, that were really pro Bitcoin ecosystem. And I think that that was a big sway that there was lots of marginal people in the middle that swing their vote from election to election, and it swung in the direction -- they voted Republican, but really they were big cheerleaders of Bitcoin, and that's what swayed that decision. So I think it's -- tip my hat off to all their support. Next, please. So Bitcoin climbs a record high following Trump's win the Republican Party vows to defend the right to mine Bitcoin and this is America's most pro-crypto Congress ever since the Coinbase CEO and the pro-Bitcoin Senator, Cynthia Lummis reaffirms Bitcoin will become a national reserve asset, and that is propelling Bitcoin to higher prices, and that is very positive for HIVE who not only mines Bitcoin using green energy, we hold as much Bitcoin as possible. Next, please. HIVE is operating in 9 time zones in 5 languages. And to me, that's really impressive team that we've been able to build because we don't function in one state in one language. We function in many time zones in many languages and many translations, but we still have been able to be in the top of the breed when it comes to efficiency as miners. Next, please. We have many firsts, first to go public as a crypto mining company in September 2017, first to develop its own ASIC mining rig, first to buy data centers and own the real estate, which gives us a competitive advantage for the AI boom and build-out. First to be green energy focused, first to balance the grid, which we've been doing for many years now in Sweden and first to have an AI strategy utilizing our GPU chips where we're able to pivot from Ethereum mining into the AI universe. Next, please. HIVE's mission is to help integrate the future of computing with the future of the climate to promote sustainability and environmental consciousness. Next, please. HIVE uses green energy, Canada, Iceland, Sweden and soon to be Paraguay, low electricity costs, low temperatures, fast Internet connections. Next, please. This is a visual of our data center in Sweden, 100 miles south of the Arctic Circle. We have 5 data centers, and it's all the -- you can't see it, but it's just behind that red building over there, the hydro dam. Next, please. Something we did in sort of the concept of recycling our electricity, and this is in Lachute, just north of the city of Montreal in Canada, where we mine with 30 megawatts of electricity, mine Bitcoin. We heat a liquid that goes across, that heats a building 5x our size. We have about a 40,000 square foot building. We're heating a 200,000 square foot building from the same electrical -- same electricity, hydroelectricity, same molecules of energy using a radiator system in that building, which makes whirlpools with 170 workers. So we're thrilled about being a leader in the concept of reusing these molecules of electricity. Next, please. This is a visual to show you what we do? The 40,000 square foot data center across that heats a 200,000 square foot factory. Next, please. HIVE is listed in Canada, NASDAQ and Germany, issued and outstanding basically 118 million shares of options 3.4 million, RSUs 3.8 million and 3.2 million shares. This is as of September 30, 2024. Next, please. The future. The future is Bitcoin mining in Paraguay, where we will double -- more than double our production and HPC for AI in Canada and Sweden. Next, please. Earlier this year, I had the opportunity of meeting Jensen Huang, NVIDIA's CEO and visionary. HIVE has made significant investments to acquire the most powerful GPUs and expand our suite of chips. We are a platinum and the platinum buyers. And I think that positioning gives us a huge advantage as we build out our data centers. Next, please. So our 100-megawatt Paraguay expansion in our recent press release, we show that we've broken ground in Paraguay. That's myself with the President of Paraguay. It's 100% green hydroelectricity. We purchased the land. We're moving as fast as we can in building out this vision we have. And I think it's interesting because HIVE really is a functioning like would be a good Central Bank or a bank that can basically assure the government is going to get paid every month. Right now, they sell their electricity to Argentina. Argentina is only paying them 50% of their money after two years. In other countries and surrounding, they need U.S. dollars. So we are a natural currency hedge mining Bitcoin, using green energy and the electrical company owned by the government gets paid in a timely fashion every month in U.S. dollars. So this is a win-win for the HIVE shareholders and a win for the government. Next, please. So this is another type of visual showing a combination of getting more efficient machines, which I will give you more granularity on and our goal to increase our exahash and to double our footprint globally. Next, please. HIVE, I'm so proud of this visual, if you take a look, it's earlier in this year, but HIVE has the lowest G&A. And I think that all the recent for the end of September data points are for our peers hasn't shown up. But clearly, when we look at the past quarter of not having an ATM and the rest had an ATM, the majority of them, we just demonstrated a much greater discipline in how we give out our RSUs, how they're earned. We've commented that this using nonlinear strategy. And we're also very cognizant as myself being the Co-Founder and Executive Chair on the cash flow return on invested capital model. And so that means our concept of building the business is very thoughtful as a money manager. And so shareholders should be very happy with this visual. Next, please. Operational excellence. Anthony Power does this competitive analysis and this is really important, the efficiency that we demonstrate. And on a consistently consistent basis, we have been this high level. Most often, Bitfarms is beside us or they're #1, but it seems to be that it's a disciplined approach. Whereas we can see some of these other miners, they have much -- they consume much more energy than us. They produce less Bitcoin than us, and they are substantially less, as you can see in the far right side, efficient as operational excellence would show of the utilization of their machines. So I'm very proud of what the team has been able to do, and it's a great value proposition for the HIVE shareholder. Next, please. So research coverage has picked up during the summer and during this quarter from H.C. Wainwright to B. Riley to Northland to Stifel to Canaccord and to Cantor. Next week, we'll be in Miami at -- sorry, this week at the Cantor Fitzgerald Conference in Miami speaking. And the average says is $6.25. I believe that Stifel believes that we have the potential as a technology company and in the data center business to hit $9. So that's at the upper range of the goal. Next, please. So now I'd like to turn it over to Aydin Kilic, give you an executive update as the CEO of HIVE.
Aydin Kilic: All right, Frank. Thank you for that excellent macro and strategy overview. Now I'm going to kick off an executive summary for this quarter, period end September 30. We ended this quarter with $22.6 million of total revenue, of which $20.8 million was from our Bitcoin mining business unit and $1.9 million came from our HPC business unit, where AI compute is run on our fleet of NVIDIA GPUs. We generated an overall gross operating margin this quarter of $1.1 million, which I think is commendable considering the very bearish mining economics of this last quarter, which have been the toughest on record where hash price has been between $40 to $50 a petahash per day on average. This is the first full cost-halving quarter that the Bitcoin mining sector has navigated as the previous quarter period end June part of April was still pre-halving economics. This quarter, July, August, September, all post halving. And even still, we generated a very respectable $5.6 million of adjusted EBITDA and moreover, ended the quarter with over 2,600 Bitcoin mined with green and clean energy on our balance sheet. Furthermore, we've realized an annualized ROIC of 15% this quarter. And as of November 11, our share price includes $2 of net cash and Bitcoin value per share, which is very, very attractive, I would say. And we're going to dive into that a little bit more. Next slide. So overview of the Bitcoin mining business. Again, we are a pioneer in using green energy for Bitcoin mining. We lead the sector with best-in-class uptime and efficiency. We reached 5.6 exahash in October, and we have very exciting plans to expand to 12.5 exahash by summer of next year. Again, we do this all with our very disciplined capital allocation strategy. We strive for optimized ROI. So every investment that HIVE makes, we seek to be accretive. We do not scale for the sake of scale. We invest for the sake of profit. All the while we run the business with the lowest G&A per Bitcoin mined. So we strive to have the best ROI, the leanest operation and the best performance. Next slide. And by the way, Frank and I have been the longest-standing executives in the Bitcoin mining sector. We've weathered through thick and thin, having a very prudent and fiscal approach. And we've both been in the sector since 2017. No other company has had continuous executive management since the beginning. And by the way, HIVE, of course, was the very first Bitcoin mining publicly traded company. And so with that wisdom and the battle scars, we're weathered and we're excited about this next bull market. This will be the third bull market that we've experienced. Next slide. So Frank touched on the very exciting Paraguay expansion. So now I've prepared some slides for the analysts that will break it down on a quarter-over-quarter basis, how this growth is going to improve not just our margins, but our overall production. Next slide, please. So this is a quarter-over-quarter projection of both our hash rate and our improvement in efficiency. So in Q1 of 2025, calendar Q1, that is, our target will be 6 exahash from our recent announcement of 6,500 Canaan 1566s. That will also improve our efficiency to 20.5 joules a terahash globally as we're upgrading our fleet of remaining 30 joules per terahash machines. Moreover, the first 2 exahash from Paraguay are going to come online in Q2 of 2025, which will further increase our global efficiency to 19.1 joules per terahash. And finally, when Paraguay is complete in summer of 2025, our global total hash rate production will be 12.5 exahash with a global efficiency of 17.6 joules per terahash. That's over 120% growth in the next 9 months, which is very exciting. Next slide. And by the way, as of November 11, Bitcoin reached a new all-time high of $88,000, which is incredibly exciting. And so this has had some very positive impacts on our business and the Bitcoin mining sector overall. Let's have a look. Next slide. So with Bitcoin at $85,000, that quarter-by-quarter analysis we provided where we scale to 6 exahash, then 8 exahash and then 12 exahash over the next 3 quarters, our annualized mining margin will grow, all other things being equal, the current difficulty, but with our improving efficiency, our annualized mining margin will grow $70 million by next quarter, calendar Q1, $95 million by calendar Q2 and $150 million when Paraguay is complete by summer of next year. So that is incredibly exciting. And when you look at the potential of where Bitcoin can go, let's have a look. Next slide. Now we cannot predict the price of Bitcoin, but just to model it, and we'll look at some historical examples, if Bitcoin were to rally to $120,000, our quarterly projections with our growth from 6 exahash to 8 exahash to 12 exahash show an annualized mining margin of $120 million, $160 million and $250 million a year based on current difficulty. Now of course, Bitcoin price may fluctuate and difficulty may fluctuate. However, we are in current bearish mining economics, and this reflects an improvement to more bullish mining economics. Let's see the next slide. As a result of the recent rally of Bitcoin to $86,000, we have seen the value of our HODL in 6 weeks grow by 37%. At the end of this period, on our balance sheet, September 30, our HODL was worth $165 million, and that's based on our October HODL of 2,624 Bitcoin. And as of November 11, at $86,000 Bitcoin price, that is almost $0.25 billion, $226 million. And it actually rallied to $88,000 later in the day, but we're just showing it based on $86,000. So this is great upside, and it's a very exciting time, and it shows how keeping a HODL balance with Green and Clean Bitcoin really is in the best interest of our shareholders who want exposure to Bitcoin as an asset class. Next slide, please. So here, we look at some historical data to notice patterns of what bull market economics might look like. So as you can see, if you go back four years ago, post halving in April 2020, we saw Bitcoin rally to the then all-time high in the $60,000 range in February and then later in November of 2021 in the $70,000 range. And you saw HIVE's share price go from approximately $2 to over $20 per share. And so you can see because there is implicit volatility in crypto mining stocks more so than Bitcoin, you will notice the rallies in the share price can exceed even the rallies in Bitcoin price. So we've seen our share price rally to over $5, and this is with Bitcoin going from $60,000 to over $80,000 in the last few weeks. So time will tell where the Bitcoin price goes from here. But you can also notice that last cycle four years ago, we only had about $10 million of HODL on the balance sheet at September 30, 2020. This bull market, we're going in with $165 million of HODL as of September 30. And by the way, again, as of November 11, it's over $220 million HODL value. So it's very exciting. Next slide, please. This is another overlay where we actually show hash price relative to HIVE's share price. So again, you saw hash price rally in that last bull market. And so what we noticed is that our share price continued to perform even though hash price fell through the bear market. And the reason why is through strategically upgrading our basic fleet and improving our machine efficiency, even though hash price dropped for the Bitcoin mining network, we were able to preserve and, in some cases, even improve our Bitcoin mining margins. And I believe that has been reflected in our share price, which remained quite steady over the last couple of years since the last bull market. So as we expect the potential for hash price to rally if there was another bull market, it would seem that with a strong HODL and some very exciting growth opportunities, there's a lot of potential upside if Bitcoin continues to rally the way it has, both for the overall sector and with respect to share price. Next slide. So really, this summarizes the value propositions of HIVE. We have demonstrated best-in-class ROIC, very disciplined and conservative capital allocation. We always purchase ASICs with the best ROI, and we're constantly analyzing the market. We're data-driven. We're heavily analytical, very root in math. We've got a very strong technical team, and that's further evidenced by our best-in-class uptime. And so this is an overview slide, but we're going to step through the analytics and all the comp data on the next few slides to back up this summary. Next slide, please. So our recent announcement of 6,500 Canaan, we decided to purchase this fleet of ASICs over 1.2 exahash of ASICs because the ROI of these ASICs was over 30% faster than other ASICs available on the market. And we scoured all the opportunities. We ran sensitivity analysis. We always look at our multivariate math equations, and we found that this was the most attractive buy on the market. We've already received 500 of them. The remainder will be shipped 1,500 a month between December and March, and that will get our overall fleet efficiency down to 20.5 joules a terahash. So that's exciting. Next slide. Our cash flow return on invested capital, again, leading the sector, an implied 15% annualized ROIC again, coming from a very disciplined CapEx and capital allocation approach. We use our ATM to accretively scale our business. The dollar per megawatt build cost in Paraguay is incredibly attractive compared to other jurisdictions, notably in North America. Furthermore, green energy, low power costs. And again, when we purchased ASICs, we are always looking for immediate delivery with the most attractive dollar per terahash and ROI for all of our ASICs. And in our recent order with Canaan, it allows us to scale with cash flow as well. We're not taking one massive order all at once where we have to do a bought-deal to dilute the stock. Nothing like that. Our ATM has performed and has been very efficient and low cost of capital. And so -- this is how we believe that we've been able to lead the sector. And this is not a once-in-a-quarter phenomenon. As you could see, we have led the sector quarter-over-quarter for the last year. Next slide, please. Similarly, we have the lowest G&A per Bitcoin mine. So how do we have that? Well, we have high revenue per employee. We huddle over 9 time zones. Frank likes to call us the Navy Seals. So it's a high-performance work culture at HIVE. Everyone is extremely proficient. I'm very proud of my executive team that I get to work with every single day. We attend the conferences. We're always working when we're at conferences, making sure operations are in tiptop shape, always looking at new R&D initiatives, what is the best utilization of our data centers? Is it AI? Is it upgrading Bitcoin ASICs? And so we do this all with a very lean team because we've weathered bear markets, and that's why I have that slide that showed that Frank and I and our executive team, Darcy Daubaras is the longest-standing CFO in crypto mining for publicly traded companies. And so we understand the importance of having low overhead. So we're not just low overhead. We're low overhead, low cost and high performance. So we really want to deliver the best of both worlds and high value for our shareholders. Next slide, please. Again, operational excellence. Anthony Power, industry analyst. He's a CPA out of London. He's been covering the industry for years, highly respected and highly renowned. As you can see, our hash rate utilization leads the sector for this calendar year Q3 2024. Next slide. And in terms of Bitcoin mined per exahash, you could see that we are amongst the best performers in the industry. And you'll still notice that now you've got the top 2 or 3 crypto miners in Bitcoin per exahash have comparable performance, but there's still quite a discrepancy across the entire industry. And we're talking variances of 5%, 10% even 20% on a Bitcoin per exahash basis and Bitcoin per exahash really is a reflection of how good is your uptime? How are you managing your fleet of tens of thousands of ASICs? And this gets much more difficult as you're in the multi-exahash scale of crypto mining. And so when you think about Tier 3 and AI, where you have to have 99.98 plus uptime, if a company is struggling to have 90% uptime in crypto mining, it would suggest that it's going to be pretty tough for them to get 99.998% in AI. But anyways, I think everyone is out on their own path, and we just try to lead by example. Next slide. Now this is one of my favorite slides here. So as a Canadian domicile crypto miner, we think we trade at a very attractive valuation. This slide here looks at the market cap as of November 11. Then it looks at the fair market value of the HODL position. What we do there is we look at the value of each company when you subtract the value of HODL. It's not quite enterprise value, but similar to. Of course, everybody's financials this quarter haven't come out yet, so we can't calculate enterprise value. But using what I like to call the market value, excluding HODL, is a good way to compare the premium that companies are trading at, at any given moment in time because, well, we know what October production is for everybody just came out. And so then you can look at the amount of Bitcoin that everybody has produced what they have on their HODL and look at the value per Bitcoin mined. And you could see we're trading at a value of about $3.6 million per Bitcoin mined or on an annualized basis, about $300,000. If you normalize that ratio, as you can see, HIVE trades at the most attractive value, you could see our peers trade anywhere at a premium of 30% to 50% to 500% of what HIVE trades at. And so with over 2,600 green Bitcoin on the balance sheet, strong operating margins quarter-over-quarter, the leanest G&A in the industry per Bitcoin mined, the best uptime in the sector, I really think HIVE is a great company. I think our team has done a phenomenal job of delivering value for shareholders, and it's going to be a very exciting year as we scale to 12.5 exahash with our deal in Paraguay and upgrading our ASIC fleet along the way. And in addition to that, of course, our AI strategy. Next slide. So to summarize, we have over 2,600 Bitcoin mined with green and clean energy as of October 2024. We've demonstrated prudent and stable growth across cycles. The management team that has been in the industry since 2017, our highest -- we have the most attractive enterprise value to Bitcoin mined as well as the best ROIC in the industry. We have a target to be 2% of global hash rate by summer of next year. And we're in the process of evaluating conversion of our data centers from crypto mining to Tier 3 to power GPU cloud services and AI. Now we're also an NVIDIA cloud partner for AI, and we're going to end this section by looking at our AI strategy. Next slide, please. So this quarter, we did $1.9 million of revenue. If you look at the first half, H1 of 2025 for the calendar year, $4.5 million, which is $9 million annualized. So we're right around that $9 million to $10 million annualized rate. We have, however, seen a resurgence in the last month. So in October of this year, which, of course, is the month after this reporting period, we did get back to $10 million of annualized revenue. Now having a B2B model where the GPUs that we've been renting, the over 4,000 A-Series NVIDIA GPUs that we've listed on four different marketplaces, we don't control the demand as there's a little bit of market fluctuation in demand as people might run training on models, etcetera. And so we've seen growth and we just note that with our future expansions as we have some exciting announcements upcoming, we are focusing and targeting larger contracts with single clients for fixed terms. But it was great because we're managing almost 500 nodes. We are managing 480 nodes of super micro service with 8 to 10 GPUs per node. In addition to that, we have 12 nodes of H100s. It's almost 500 nodes, 492 nodes to be exact, which is a lot of GPU nodes to be managing across two data centers, one in Sweden and one in Quebec. So let's have a look at the next slide. We have a really exciting couple of months ahead of us. Our target for $20 million annualized revenue is still on track. We're going to estimate that for calendar Q1 as we have some incoming hardware that we will be deploying and press releasing to the market as well our strategy to get to $100 million by the end of calendar 2025 is intact, and that is infrastructure driven by HIVE being vertically integrated, not just building GPU clusters, but delivering on Tier 3 data centers. And again, what we've done is we've demonstrated quarter-after-quarter the ability to service the Tier 3 AI compute business unit by maintaining the uptimes that are required in this sector, which are different and much more stringent than crypto mining. So we've demonstrated consistent revenue. And I think it's going to be a very exciting year ahead. Stand by for updates from HIVE on our AI business. And on that note, I'm going to turn it over to Mr. Darcy Daubaras, longest-serving CFO in crypto mining.
Darcy Daubaras: Great. Thank you, Aydin. At this point of the presentation, I will take you through a snapshot of the period, looking at the most recently completed quarter and some financial indicators. We are providing certain non-IFRS measures in the presentation today, as was mentioned earlier. The company believes that these measures while not a substitute for measures of performance prepared in accordance with IFRS, provides our investors an improved ability to evaluate the underlying performance of the company. These measures do not have any standardized meaning prescribed under IFRS and therefore, may not be comparable to other issuers. Further details are found in the management discussion and analysis for the 3 and 6 months ended September 30, 2024. Moving on to the next slide; the theme of this quarter's result is reflecting the full impact of the halving event that occurred earlier this year, along with the continuously rising Bitcoin difficulty rates that we're all experiencing. During this most recently completed quarter of September 30, 2024, we recorded $22.6 million of revenue and $5.6 million profit in adjusted EBITDA. This was driven by production of 340 Bitcoin equivalent mined. On the next slide, we continue to have a very healthy balance sheet. We take pride in maintaining this healthy balance sheet and our cash position was $7.2 million at September 30, 2024, in addition to $165.2 million in digital currencies, primarily consisting of Bitcoin. We also had $6.6 million in amounts receivable and prepaid, a slight increase from the prior period. The total market value of our strategic investments increased by 60.5% from the prior period to where it was at September 30 of $24.4 million. We have a strong net cash position and healthy working capital to support our operations and growth objectives with a current ratio of 5.6, which is calculated as current assets divided by current liabilities. And on the next slide, let's shift our focus to our gross operating margin on a year-over-year basis, comparing the second quarter of this year to the second quarter of last year. Our gross operating margin, which is calculated as total revenues minus direct operating and maintenance costs, decreased in absolute terms to $1.2 million or 5% in the most recent quarter compared to $4.7 million or 21% in the same quarter last year. One significant factor to consider is the impact of the halving event that occurred earlier this year. This event led to mining rewards earned by miners in the second quarter of this year being halved compared to that comparative period that we're looking at last year. The gross mining margin is influenced by several external factors. These include the high mining difficulty currently being experienced, the reduced amount of digital currency rewards received by miners because of that [ halving ] and the market price of the digital currencies at the time of mining, which has been higher compared to the previous year period. In the most recently completed year, we are reporting a net loss of $0.06 per share for the quarter compared to a net loss of 29% -- sorry, $0.29 per share reported for the year ending September 30, 2023, the prior period. The net loss reported by HIVE is in accordance with the regulatory requirements of IFRS as we are a Canadian-listed issuer rather than following U.S. GAAP, which some of our comparatives in the industry do. On to the next slide; in looking at our year-over-year revenue, we generated total revenue in the second quarter of fiscal 2025 of $22.6 million versus $22.8 million in the previous year's second quarter. The steady revenues compared to the same quarter in fiscal 2024 can primarily be attributed to the average Bitcoin price, which is more than double what it was last year. However, this increase is offset by a 60% rise in Bitcoin difficulty hash rates over the past year as well as the impact of the halving event on the current period's results. As mentioned previously, our gross mining margin, which equates to our revenues minus direct operating and maintenance costs, decreased in absolute dollars to $1.2 million in the most recent quarter compared to $4.7 million in the prior year. On to the next slide, comparing our current fiscal Q2 quarter to the previous Q1 quarter, we generated revenue in the second quarter of fiscal 2025 of $22.6 million versus $32.2 million in the previous quarter. This decrease in revenues versus the prior quarter was impacted by the halving leading to less Bitcoin produced and by a decrease in the price of Bitcoin over the quarter-over-quarter averages. Our gross operating margin also in absolute dollars to $1.2 million in the most recent quarter compared to $11.4 million in the prior quarter's comparative. The decrease in gross operating margin versus the prior quarter was significantly impacted by the halving that took place early in the quarter and continuous increase in the difficulty of Bitcoin mining. And on to the next slide. Our adjusted EBITDA in the second quarter of fiscal 2025 was $5.6 million versus adjusted EBITDA of $14.9 million in the prior quarter. I will highlight again that adjusted EBITDA is a non-IFRS figure. In the second quarter of fiscal 2025, we experienced a net loss of $7.7 million compared to a net income of $3.3 million in the prior quarter. This time, I want to thank, as we all do here at HIVE, our loyal stakeholders, and I'll pass it off to Nathan Fast. Nathan?
Nathan Fast: Thank you, Darcy. That concludes the presentation for today. We will now begin the question-and-answer portion of our call. [Operator Instructions] I see we have a few hands raised. I will ask to unmute Bill from Stifel.
Bill Papanastasiou: Congrats on breaking ground in Paraguay. For my first question, I was hoping you could share an updated capital allocation strategy as it pertains to HPC initiatives. And curious to hear how that's weighing on the back of management's mind on -- with the recent rise in mining economics?
Aydin Kilic: Hey Bill, it's Aydin here. Thanks for that question. So we've been focusing on the infrastructure side of the HPC business earlier this year, a couple of months ago, we noted a pipeline of conversion of existing crypto mining assets, data centers that we own. And so we've kept it high level, and we've been focusing on cash flow. So right now, we are working on a few things that we haven't specifically commented on yet. So that's about as much as I could say right now. But the economics for both business units are both very attractive. And that's -- as far as HPC, that's sort of the extent of what I could say right now. And just stay tuned for more announcements. But we are gearing up for next-generation compute as the data center requirements to power NVIDIA's next generation of GPUs will be a cut above what exists today on the market.
Bill Papanastasiou: And just as a follow-up to that, can you offer more color in terms of what the outlook could be for gross margins on the HPC side? Has your targeted margin profile changed at all?
Aydin Kilic: No. So I think what's going to happen is the latest hardware -- like everybody knows that the H200 is out, and that's the next version of the H100. It has twice the amount of vRAM. So really, we see the indicative pricing for H100s and H200s in the $2 to $2.50 per hour range. And so when Blackwell comes out next year, how will that affect the existing H100, H200 pricing and what will Blackwell rent out at. And so if you look back to when the H100 came out and the A100, the A100 had really good staying power even to this day. And so if you think of the Melting Ice Cube analogy of dollar per GPU per hour pricing, it decreases a lot slower than in crypto mining. So I think for the most part, you could keep your margins as an analyst similar as new gear comes online. If you wanted to be more bullish, you could project perhaps upwards of $3 an hour for Blackwell, but that's just narrative and commentary. I think because Blackwell has substantively better performance than the H200, a lot quicker flop speed, even more memory, et cetera. So it will -- I think the market will determine what they'll pay as a premium for that improved compute performance. I hope that's helpful.
Bill Papanastasiou: Yeah. I appreciate the color there, Aydin. I just wanted to touch on Paraguay as well. Given the election of pro-crypto President Donald J. Trump, curious to hear whether you're hearing anything with respect to the government's approach to Bitcoin mining. Has their approach shifted at all? I recall that there was a tariff increase that had capped expansion plans there to 100 megawatts. Is there a potential to grow that out after the first site is completed?
Aydin Kilic: We think that Paraguay is a very exciting jurisdiction to be doing business in. As Frank mentioned, he had met with the President. I plan on traveling there in December. And as mentioned, we've just broken ground, which is very exciting. So our first 30 megawatts will be completed in calendar Q2. So we are very mindful. We've done business in numerous jurisdictions globally. We've done -- we're very weathered in Sweden, all throughout Canada and Iceland. And crypto mining globally, I think regulatory headwinds, it's just part of the game, and you have to know how to navigate them, right? So in Quebec, right, back in the day, that was the first province in Canada to issue a moratorium. Guess what, we're still happily hashing in Quebec. Same thing with New Brunswick. And in fact, we even have a Demand Response Program in New Brunswick, which is the first of its kind. So I'm trying to just indicate at a very high level by having the right strategy, embracing authorities, be it the utility companies, the federal or regional governments, there's always a strategy. If there's a will, there's a way. And that's all I'll really comment on that. But I have a positive outlook on Paraguay, and I'm really excited to be going down there next month.
Nathan Fast: Thank you for that question, Bill. I will next ask Lucas from B. Riley to unmute [Operator Instructions].
Nick Giles: This is Nick Giles asking questions on behalf of Lucas. Frank, Aydin, thanks for the comprehensive presentation here. My first question is just curious for an update on how you're thinking about organic versus inorganic growth. Any updated view on M&A in the space? And does the transition of several of your peers to HPC make it more or less likely that we'll see consolidation in your opinion?
Frank Holmes: I think that M&A has been an ongoing topic of discussion since the beginning of the sector, really in the capital markets in 2017. What the trend appears to have been is people are more interested in assets rather than acquiring the adjacent teams because usually, you're paying a premium for those teams. And unless it's a real rock star team, chances are people are really just going to be interested in the assets. So of course, we saw the whole Bitfarms Riot saga unfold. I think where you see a really rock star team with solid assets, you might see M&A. But then at the same time, I think it's just the commercial factors that really drive those discussions. So if it's accretive and I think the culture of both teams align then it makes sense. And that's about as much as I could say for M&A.
Nathan Fast: Next, we'll go to Darren from ROTH.
Darren Aftahi: Just if I could, a two-part question here. So maybe Frank and Aydin, just how have your strategic thoughts changed as it pertains to your Bitcoin and digital infrastructure business as it relates to the election sort of pre-election, post-election? Second part of the question, I know you guys are breaking ground in Paraguay, but how are you thinking about adding power -- usable power to your portfolio?
Aydin Kilic: So I think the Trump administration has been very, very pro- Bitcoin. If you go back to some of the speeches that he gave in Nashville, even Cynthia Lummis, it was very, very pro- Bitcoin. So we're excited. We welcome it. He's got Vivek Ramaswamy and Elon joining the Department of Governmental Efficiency, DOGE, which obviously is a cheeky nod towards crypto. So we think it's great. And as far as growing our power elsewhere, I can only comment on what we've publicly press released, but we're constantly evaluating opportunities to accretively scale the business. Again, we really want to have effective allocation of capital for our shareholders. And that's really what I could tell you, Darren, standby for more press releases.
Nathan Fast: Thanks for that question, Darren. Next, we will go to Brett from Cantor.
Brett Knoblauch: Your goal kind of being 2% of the Bitcoin mining network, is that like a firm percentage? I guess I'm looking at your target of 12.5%, that's less than the 2% of the current network hash and I would assume network hash will be a bit higher this time next year. So I guess how should we think of your long-term targets as a percentage of total network hash?
Aydin Kilic: Hey Brett, yeah, it's Aydin here. So that's a great question. I'm a very mathematical guy, and I could open Excel sheets and we could look at the time variant nature of Bitcoin mining network. But what we really try to do and what I've trained myself to do is just to provide simple run rate metrics that are easy to walk away. I'm very much aware that 2% could represent much more than 12.5 exahash, but 2% is our target. And so what we've got secured, construction has broken ground, ASICs allocated, etcetera, we have a clear path to 12.5 exahash. So that's what we are putting in the presentation and in our projections. So for all the analysts, it's really easy for them to have concrete numbers of where we'll be. But of course, there's always more opportunity to expand beyond the 12. And our target really is to be at 2% of the network, right? So yes, I'm aware that, that would constitute more than 12.5, and we certainly have plans to grow beyond the 12.5. 12.5 is a concrete number. Again, the site has broken ground. We're building 100 megawatts. We've just ordered 6,500 Canaan to upgrade our existing fleet. So I hope that answers your question.
Nathan Fast: We have time for one more question. We will give the floor to Mike from Northland.
Mike Grondahl: Your 30-megawatt HPC site, can you kind of comment on the demand you're seeing for that and the type of customers you're talking to and maybe when you could break ground?
Aydin Kilic: Yes. So I'll -- and just one more thing on the 2% of the Bitcoin network. Effectively, for modeling purposes for all the analysts, that would be producing 9 Bitcoin a day, right, based on current [indiscernible] yeah. So just for Brett. Now my good question. So the amount of GPUs to fill up, like if you have 30 megawatts of utility load, a 1.3 PUE, you're looking about 24 megawatts of IT load. That is a lot of GPUs. So I think I commented in some previous conversations, the intent, like a reference architecture cluster for Blackwell's 8 racks, right? So that's 8x 72. If you do an NVL72, that's 576 GPUs. If you do it with, say, for example, an H200 cluster, it's 32 nodes, 32 x 8 is 256. So what you're doing is you're building multiples of reference architecture clusters based on NVIDIA's design. And the goal is to find 24-month contracts for -- 12- to 24-month contracts for a reference architecture cluster. Again, that will be 256 GPUs if you're doing an H200 cluster or 576 if you're doing a GP200 cluster. And so you would be seeking client demand in multiples of that. So again, we haven't press released anything specifically, but I'm giving you the kind of tech backdrop and how the sensible way to scale that business is. So one would not go by 24 megawatts of GPUs, which would be hundreds and hundreds of millions of dollars. What you would do is you would buy a cluster, deploy it, pre-lease that and scale from there. And with the surplus capacity, you could always do colo. So I hope that answers your -- and when I say colo, you're renting out rack space for whatever it is, $0.30 a kilowatt hour sort of and rent it to other users downstream. We do, of course, want to build our own and we have built our own GPU clouds and rent because the GPUs rent for, again, as the numbers I cited earlier, $2.50 an hour per GPU, which, again, for an H100, H200, because one GPU is approximately 1 kilowatt. That translates to $2.50 a kilowatt hour, right? Or if you rent the card for $2 an hour, it's $2.50 a kilowatt hour as well. So I'm just distinguishing between dollar per GPU per hour and then dollar per kilowatt hour, right? So we underwrite everything in dollar per kilowatt hour. So I hope that was helpful for you.
Mike Grondahl: Just following up, any comment on the demand you're seeing or when you might break ground?
Aydin Kilic: So we haven't press released that. So standby. Although I'd love to provide you more color, I just have to say stay tuned.
Nathan Fast: All right. Thank you again to all of our analysts for the thoughtful questions. That concludes our Q&A session and HIVE's Q2 2025 earnings call. Thank you again to our attendees and analysts for joining. We look forward to speaking to you again soon.